Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:04 Good day, and thank you for standing by. Welcome to the Summit Hotel Properties, Inc., Q1 2022 Conference Call. At this time, all participants are on a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. Please be advised that today's conference is being recorded. [Operator Instructions] 00:37 I would now like to hand the conference over to your speaker today, Adam Wudel, Senior Vice President of Finance, Capital Markets and Treasurer. Please go ahead.
Adam Wudel: 00:49 Thank you, Carmen and good morning. I am joined today by Summit Hotel Properties' President and Chief Executive Officer, Jon Stanner and Executive Vice President and Chief Financial Officer, Trey Conkling. 01:03 Please note that many of our comments today are considered forward-looking statements as defined by federal securities laws. These statements are subject to risks and uncertainties, both known and unknown as described in our SEC filings. Forward-looking statements that we make today are effective only as of today, May 4, 2022, and we undertake no duty to update them later. You can find copies of our SEC filings and earnings release, which contain reconciliations to non-GAAP financial measures referenced on this call, on our website at www.shpreit.com. 01:44 Please welcome Summit Hotel Properties' President and Chief Executive Officer, Jon Stanner.
Jon Stanner: 01:50 Thanks, Adam, and thank you all for joining us today for our first quarter 2022 earnings conference call. Overall, we are extremely pleased with our portfolio's first quarter performance, as operating trends accelerated rapidly through the quarter, resulting in our highest quarterly RevPAR and best RevPAR recaptured to 2019 levels since the onset of the pandemic, despite a slow start to the year in January and early February. 02:15 RevPAR in March reached a pandemic era high of over $120, a 61% increase from our January results. We continue to benefit from meaningful pricing power throughout the portfolio, highlighted by record average daily rate in our resource segment, which finished the quarter 10.5% higher than the first quarter of 2019. 02:36 We also began to see significant growth in our urban portfolio, particularly mid-week as contribution from corporate group negotiated and business transient demand segments, as well as compression from convention activity in numerous markets drove strong occupancy levels throughout March and April. 02:53 First quarter pro-forma RevPAR increased approximately 78% from the first quarter of 2021, driven by a 21% increase in occupancy and a 47% increase in ADR. For the quarter, RevPAR recapture was 78% of 2019 levels with nominal RevPAR and 2019 recapture rates improving each month. 03:14 RevPAR in March reaching 87% recapture rate till March of 2019 and was 16% higher than our previous pandemic era high in October of 2021. Preliminary April pro forma RevPAR was expected to be $119, essentially flat to March, and approximately 90% of 2019 RevPAR levels, despite some of our stronger mountain and desert markets entering into slower seasonal periods. 03:41 Similar to our results in the back half of the first quarter, April’s better-than-expected performance was driven increasingly by accelerating demand in our urban portfolio, which helped offset the end of the traditional spring break period and the timing of the Easter holiday weekend. Preliminary April occupancy was approximately 70% in our urban portfolio with rates over $170, which drove RevPAR to its highest level since the onset of the pandemic, surpassing our first-quarter metrics by nearly 40%. 04:11 Weekday pro forma RevPAR has also increased meaningfully through the first part of the year, driven by continued growth in corporate and group related travel. March and April achieved weekday RevPARs of $113 and $110 respectively, each of which was over 20% higher than the prior pandemic peak in October of last year. 04:32 As we look to the balance of the second quarter, we are very encouraged by the latest forward booking trends with May pacing over 6% ahead of where April was trending 30-days ago and June trending slightly up from May. Continued improvement in weekday demand a strong Memorial Day weekend and continued leisure strength in the early part of the summer season are expected to result in May and June recapture rates in line or better than the 90% recapture we experienced in April, despite getting into more difficult year-over-year summer time comparables. 05:04 In our earnings release last night, we also announced two pending transactions. First, we've entered into a contract to sell the 169 guest room Hilton Garden Inn, San Francisco Airport North hotel, currently owned in our joint venture with GIC for $75 million or $440,000 per key. The purchase price is nearly 30% higher than what the joint venture acquired the hotel for in 2019 and equates to a 1% cap rate on the hotels to our trailing 12-month net operating income. Importantly, the sale will also allow us to forego a comprehensive $7 million renovation, equal to over $40,000 per key that was scheduled to begin later this year. 05:45 We also announced in conjunction with our mezzanine lending program, the exercise of our equity purchase option to acquire a 90% interest in the newly constructed 264 guestroom AC element, dual branded hotel in downtown Miami's Brooklyn neighborhood at a valuation of $89 million or $337,000 per key. These two new hotels are located in the heart of Brickell, directly adjacent to Brickell City Centre and one of the country's most dynamic and vibrant markets. The hotels have ramped incredibly quickly since their December 2021 opening, generating first quarter RevPAR of $181 and hotel EBITDA margin exceeding 45%. 06:26 First quarter RevPAR and hotel EBITDA were approximately 25% and 30% higher in the properties initial budget respectively. The property features Rosa Sky, a rooftop bar on the 22nd floor, offering incredible views of the Miami Skyline. The outlet has quickly become one of downtown Miami's most popular night lives destinations, generating approximately $0.5 million of revenue in the month of March alone. 06:52 For the full-year 2022, we now anticipate the hotels will generate a combined hotel EBITDA yield on our auction price between 8% and 9% effectively in their first 12-months of operation. The acquisition of the AC element represents our first exercise of a purchase option received in connection with providing a mezzanine loan on a new hotel development. We are in the 9% interest rate on our $30 million of funded paper during the term of the loan and we will be acquiring two hotels performing extremely well nearly immediately upon opening at a basis that is well in the money relative to current market values. 07:29 We believe this further demonstrates the uniqueness of our mezzanine lending program and an ability to capture better risk-adjusted returns without taking on outright development risk. Both the Brickell and San Francisco transactions are expected to close during the second quarter. 07:45 In the first quarter, we closed on the previously announced acquisition of 27 hotels, two parking garages and various financial incentives from NewcrestImage for a total consideration of $822 million. While we've owned the new portfolio for less than a quarter, we already -- are already 3.5% ahead of our original EBITDA underwriting and are increasingly optimistic that the continued implementation of various asset and revenue management strategies will drive additional upside beyond our initial expectations. 08:15 Our other pandemic era acquisitions are performing even better as the Residence Inn in Steamboat and Embassy Suites in Tucson are tracking nearly 40% above our underwritten 2022 EBITDA levels. Combined, we now expect our 2022 EBITDA yields on these acquisitions to be in the 7% range. 08:34 Since July of 2021, we've executed on approximately $1 billion of transactions and nearly half of the hotels we acquired have opened within the past four years, implying there is still considerable upside in these assets as our newer hotels continue to stabilize. This activity all serves as a testament to our team's ability to identify and execute on accretive transactions that are consistent with our long-standing strategy of thoughtfully and opportunistically allocating capital. 09:03 With that, I will turn the call over to our CFO, Trey Conkling.
Trey Conkling: 09:07 Thanks, Jon, and good morning, everyone. On a pro-forma basis, we experienced continued RevPAR growth across our portfolio in the first quarter and into April. For Summit's 43 hotel urban portfolio, first quarter RevPAR was $87, a level slightly below the third quarter 2021 pandemic peak. 09:26 However, in March and April, our urban hotels generated RevPAR of $113 and $120 respectively, a 7% and 14% premium to the previous pandemic monthly high in October of last year. Strength in our urban portfolio was driven by increased mid-week corporate and group travel in Sunbelt markets such as Dallas, New Orleans, Austin and Nashville, as well as Downtown Chicago, which has seen a meaningful uptick in mid-week corporate demand and Downtown Baltimore, which doubled its anticipated targets for convention center room nights in the quarter. 10:04 We were also encouraged by the week-day performance trends within our urban portfolio. We saw meaningful RevPAR increases in March and April. Urban week-day RevPAR in March and April was $103 and $107 respectively, a significant increase from the previous pandemic monthly high of $86 in October of last year. 10:26 First quarter RevPAR for our non-urban hotels was $106, an increase of over 10% versus both third and fourth quarter 2021. Strength in our non-urban portfolio was driven heavily by our 11 resort hotels, which generated a $183 RevPAR in the first quarter, due to robust spring break demand and peak leisure seasonality in markets such as Phoenix, Tucson, Fort Lauderdale, Orlando, Steamboat Springs, and Silverthorne in Colorado. 10:58 Furthermore, average daily rate for our resort hotels exceeded 2019 levels by more than 10%. As these markets entered shoulder periods, their natural seasonality is expected to be offset by accelerating demand trends within our urban portfolio. Booking windows in the quarter contracted as the Omicron variant created uncertainty in January and early February. However, subsequent to President's weekend, demand increased significantly and the booking window expanded with same-day bookings in March declining to only 18% of total bookings, a pandemic era low. 11:35 Similarly, bookings for stays more than a week out comprised only 38% of total bookings in January, but expanded in nearly 50% of bookings in March, which is generally in line with fourth quarter of 2021. While the trend of advanced bookings throughout the quarter was encouraging, bookings in the week, for the week remain elevated relative to pre-pandemic levels. 11:58 From a channel mix perspective, we are seeing notable increases in bookings coming from the less expensive channels as more than 70% of our stays in the quarter came from direct bookings, central reservation systems or global distribution systems. OTA contribution was slightly higher, compared to the fourth quarter of 2021 given the volume of leisure transient bookings. But as convention activity increases and corporate and business transient demand accelerate into the summer, our guest acquisition costs should begin to decline, which will layering in, accelerating ADR growth, should serve as a tailwind on the margin front. 12:39 On a same-store basis, operating costs per occupied room in the first quarter were slightly elevated, compared to the fourth quarter 2021, driven by softer January occupancy as hotel staffing levels were maintained to accommodate the strong demand forecasted for President's Day weekend and the Spring break holiday period. This resulted in a January gross operating profit margin of 35% and a first quarter GOP margin of 44%. 13:08 However, as topline performance recovered throughout February and March, operating cost per occupied room declined and GOP margins expanded to more than 50% in March. We expect March's positive trend in margins to continue in the second quarter of this year. 13:26 Pro forma hotel EBITDA for the first quarter was $47.3 million, a 200% increase from the first quarter of 2021, which resulted in a 33% margin, nearly 13 percentage points higher than the first quarter of last year. It's worth noting that we estimate integration of the NewcrestImage Portfolio created approximately 50 basis points of margin headwinds in the first quarter as a result of one-time transition related expenses. 13:59 Adjusted FFO for the first quarter was $20.1 million, an increase of $27.1 million from the first quarter of 2021 and an increase of $5.3 million from the fourth quarter of 2021 amid an improving fundamental backdrop and recent transaction activity. 14:19 During the first quarter, on a consolidated basis, we invested approximately $10.3 million in our portfolio. On items primarily related to maintenance capital and advanced purchasing related to upcoming renovations. Including the first quarter, we expect to spend $60 million to $80 million on a consolidated basis or $50 million to $70 million on a pro rata basis and total capital expenditures for 2022. 14:48 For the year, we will commence or complete renovations at 13 hotels, including the Hilton Garden Inn, Houston Energy Corridor, the Hyatt Place Orlando Universal Studios, and the SpringHill Suites Nashville MetroCenter. 15:03 As Jon mentioned in the second quarter, we expect to close on the sale of the 169 guest room Hilton Garden Inn San Francisco Airport for gross proceeds of $75 million or $444,000 per key. We acquired the hotel in October 2019 for an allocated value of $58 million as part of a four-property portfolio, which will result in an estimated gain on sale of $20.5 million. The sale would generate approximately $37 million of pro rata net proceeds that we anticipate using to repay a portion of our single remaining 2022 debt maturity. 15:44 In addition, we exercise our equity purchase option in connection with our mezzanine construction loan to acquire a 90% interest in the 264 guest room AC Element dual-branded hotel in downtown Miami's Brickell neighborhood. The 90% equity interest will be acquired at a pre-negotiated total hotel valuation of $89 million or $337,000 per key. The transaction will be financed using an estimated $47 million mortgage loan and we expect to fund our $38 million pro rata portion of the required equity, by converting our $30 million mezzanine construction loan and contributing $8 million of existing cash. 16:30 At closing, a $10 million letter of credit supporting the option will be released back to us, which will result in a net positive liquidity event after consideration of the $8 million cash funding. 16:42 Finally, turning to the balance sheet, our current overall liquidity position remains robust at more than $450 million. We continue to maintain ample liquidity to repay all maturing debt through 2024 when considering available extension options. From an interest rate risk management perspective, our balance sheet is well-positioned, including an average pro rata interest rate of 3.4%, with nearly 70% of our current outstanding pro rata debt fixed after consideration of interest rate swaps. 17:18 In the second quarter of 2022, we expect to exit the existing waivers on certain financial covenants related to our primary corporate credit facility, which will provide for more capital allocation flexibility regarding investment activity, use of proceeds, capital projects and potential distributions. 17:39 Included in our press release last evening, we provided 2022 guidance on certain non-operational items, including cash corporate G&A, interest expense, preferred dividends and capital expenditures, both on a consolidated and pro rata basis. We expect the midpoint of consolidated cash corporate G&A to be $20.5 million, interest expense excluding the amortization of deferred financing costs to be $55.5 million, preferred dividends to be $18.2 million and pro rata capital expenditures to be $60 million. 18:16 And with that, we'll open the call to your questions.
Operator: 18:21 Thank you. [Operator Instructions] Your first question comes from Michael Bellisario with Baird. Please go ahead.
Michael Bellisario: 18:44 Thanks and good morning, everyone.
Jon Stanner: 18:47 Good morning, Mike.
Michael Bellisario: 18:49 Jon, first just want to focus on the Newcrest portfolio. I think you mentioned tracking up a couple of percent ahead of underwriting. Is that coming from the top line or the bottom line? And then maybe could you provide any guidance on how you're thinking about EBITDA contribution from that portfolio for the full-year?
Jon Stanner: 19:08 Yes, it's a little bit of both, Mike, and we're definitely ahead on the topline. I think as we alluded to in the prepared remarks, I think we feel better about the acquisition the day even then when we underwrote it in terms of where we think there is opportunity. We think there is great synergies -- opportunities on both the topline and the bottom line, ability to complex some assets that are clustered in certain markets together. So as we said, we are slightly ahead of where we underwrote the assets initially. I do expect that to continue to expand as we progress throughout the year, the markets are more solid than they were at the beginning of the year. And again, I think we're seeing more and more opportunity. We do expect the yield on that acquisition to be in the 7% range on EBITDA for the full-year.
Michael Bellisario: 19:55 Got it. That's helpful. And then on the balance sheet, if you could fast forward, you call it a quarter or two, you've completed the two transactions, fundamentals are hopefully continuing to improve. What else do you want to get done or need to get done on the balance sheet side and deleveraging in terms of being in an even stronger position to look to further invest capital on the acquisition side?
Trey Conkling: 20:22 Yes, I think from a balance sheet perspective, we're obviously selling the San Francisco asset is, as John mentioned, and that'll result in about $37 million of proceeds that will come up to the Summit parent. We will use that to pay off the balance -- or a portion of our November 2022 term loan, which will get us down to about a $25 million balance there. I think there's a lot of things that we're looking at that we'll be able to basically take care of the rest of that maturity through the balance of this year. 20:51 From a deleveraging standpoint, I don't think that we see anything that we would be doing proactively other than continuing to see kind of the organic rebound in EBITDA across the portfolio. As John mentioned, whether it's the acquisitions of Steamboat and Tucson or how NCI's performing, as well as our performance in the first quarter, we feel really good about the organic growth there and we think that we'll be able to delever pretty meaningfully over the next 12 to 18-months based on the growth in the portfolio. But I'd say those are the two kind of main things in terms of how we think about getting back to a more normalized level of the debt to EBITDA ratio. 21:39 I'd also note that kind of what we're looking at the balance sheet, we're not really just thinking about it purely from a debt to EBITDA standpoint when we look at some of our coverage statistics. If you look at the first quarter on an annualized basis, our interest coverage ratio is nearly 4 times, our fixed charge coverage ratio is nearly 3 times and our consolidated debt to kind of our undepreciated book value is around 40%. So from that perspective, not just looking necessarily at the debt to EBITDA metrics today, we feel really good about those statistics on the whole.
Michael Bellisario: 22:14 Got it. That's helpful. And then just one more follow-up just on the dividend, any updated thinking on timing there or your desire to bring that back?
Trey Conkling: 22:22 Yes, no updated thoughts on timing. It is something that we talk about with the Board every quarter as we kind of telegraphed in the past. We think this is a matter of when, not if. We just want to make sure that we're prudent and thoughtful on how -- in terms of how we balance that with other capital allocation priorities.
Michael Bellisario: 22:41 Got it. That's all for me. Thank you.
Trey Conkling: 22:43 Thanks, Mike.
Operator: 22:45 Thank you. Your next question comes from Austin Wurschmidt with KeyBanc. Please go ahead.
Daniel Tricarico: 22:51 Hey, good morning. This is Daniel Tricarico on for Austin. With respect to inflationary pressures across the economy on leisure travelers, have you seen any evidence or signs of push back from customers? And are there pockets or segments within the portfolio where you've seen sensitivity to rise in hotel rates?
Jon Stanner: 23:09 Yes. No we really haven't seen it anywhere. Certainly something that we're watching closely, particularly as gas prices have risen and the cost of airline tickets have risen. We haven't seen any pockets of softness really anywhere across the portfolio. So I know it's something that we're monitoring very closely, but our pricing power in March and April have been as strong as they've been in any time since the pandemic. And I don't think we've seen at least historically a strong correlation between rising gas prices hurting hotel demand. So we'll hope that continues to hold this cycle, but the simple answer is we haven't seen any effect so far.
Daniel Tricarico: 23:46 That makes sense, thanks. And then with the mezz book wind down now, what is your future appetite for additional mezz investments? I guess, in contrast to how you're thinking about traditional acquisitions and I guess any update on the transaction market as well?
Jon Stanner: 24:00 Yes, look, we like the mezz program. It's served us very well. And I think you've seen with the couple of transactions that we've entered into. We had a couple of loans that we just got paid back, we earned 8% over the time of -- the time that our money was outstanding, our loan was outstanding during a very challenging period in the hotel business. The option that we've just exercised, we think again that we are 9% on the capital that was outstanding. We think we're buying a tremendous hotel at a significant discount to where it would trade in the market. So we really do like the program. 24:35 We're certainly open to trying to find more opportunities to expand that we won't have any mezz loan dollars outstanding following the exercise of this option. It isn't the easiest environment to develop hotels in today as you are aware construction costs are meaningfully higher than they were pre-pandemic. And so again I think we expect to be in a period where there is just lower supply growth in this industry over a longer period of time. So we love to put some incremental dollars out into the program and we'll continue to look at that and try to be opportunistic around that. 25:08 In terms of the transaction environment, we continue to see a lot of good opportunities out there. We've got a full pipeline that we're continuing to review. We will hope to be able to make some continued progress there through the balance of the year.
Daniel Tricarico: 25:23 Appreciate it. Thanks, Jon.
Jon Stanner: 25:26 Thank you.
Operator: 25:27 Thanks. Next question is from Bill Crow with Raymond James. Q - Bill Crow 25:35 Hey, good morning, guys. Just a quick question on the balance sheet. I think you get $300 million of variable rate debt. I just wanted to see how you're thinking about that and the opportunities that you might see to fix some of that?
Trey Conkling: 25:51 Yes. Hi, Bill. I think when we think about the balance sheet today, we've got 70% of our pro rata capital structure as fixed and we generally feel good about that. I will say obviously with what's going on, the Fed needs today and that the future outlook on interest rates is something that we're continuing to review. We have a variety of swaps that are in place that obviously hedge that exposure for a period of time. But I think at a kind of a 70% fixed ratio, we feel good about that right now, but it's obviously an ongoing conversation and something that we're keeping a close eye on.
Bill Crow: 26:27 Hey, Jon, are you seeing any material differences in the recovery pace between different brand families? Anybody -- and I don't necessarily expect you to call out specific brands, but are there major differences in the recovery?
Jon Stanner: 26:40 No, I wouldn't say it's brand driven Bill. I mean, I think you've seen it incredibly by market and location. And I think early in the pandemic, you saw it in extended stay, which recovered much quicker given the dynamic of the business, but anything leisure oriented has recovered more robustly and quicker. I wouldn't say that we can really delineate between the brand families.
Bill Crow: 27:02 Okay, that's it from me. Thank you.
Jon Stanner: 27:04 Thanks, Bill.
Operator: 27:05 Thank you. And with that, we conclude our Q&A session. I will pass the call back to Jon Stanner for his final remarks.
Jon Stanner: 27:13 Yes, thank you all for joining us today. We look forward to speaking with many of you after the call this quarter and look forward to seeing many of you in New York next month for NAREIT, and we'll be back in touch in 90 days to provide another update. Thank you all.
Operator: 27:27 And with that, we conclude today's conference. Thank you for participating and you may now disconnect.